Operator: Good morning, everyone. Thank you for standing by. I would like to welcome you all to the Capstone Copper Q2, 2022 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. Instructions will be provided at that time on how to queue up. I'd like to remind everybody that today's call is being recorded. And I would now like to turn it over to Mr. Jerrold Annett, Senior Vice President of Strategy and Capital Market. Please go ahead, sir.
Jerrold Annett: Good morning. I'd like to welcome everyone to Capstone Copper's Q2, 2022 conference call. Please note that the news release and regulatory filings announcing Capstone Copper's 2022 second quarter financial and operational results are available on our website and on CEDAR. If you are logged into the webcast, we will advance the slides of today's presentation, which is also available in the Investor’s Section of our website. I'm joined today by our CEO, John MacKenzie; our President and COO, Cashel Meagher; our Chief Financial Officer, Raman Randhawa; and our Senior Vice President Risk ESG and General Counsel, Wendy King. Following our brief remarks, there will be an opportunity for questions. Please note that comments made on the call today will contain Forward-Looking Information within the meaning of applicable securities laws. This information by its nature is subject to risks and uncertainties and the actual results may differ materially from the view expressed today. For further information on the risks and uncertainties pertaining to our business, please see Capstones most recent filings which are available on our website and on CEDAR. And finally, I'll just note that all amounts we will discuss today are in U.S. dollars unless otherwise specified. Now, I'll turn the call over to John MacKenzie.
John MacKenzie: Thank you, Jerrold and good morning everyone. Before I speak to our Q2 results, I wanted to touch briefly on a few key themes in what has been a lot of volatile macro environment in the first half of the year. Q2 was a more challenging period for copper miners with inflationary pressures both across the industry and a sharp decline in copper prices, together with concerns about global economic growth. Despite this backdrop, Capstone Copper is well positioned to deliver on our strategy with stable operations, a strong balance sheet and good liquidity as we near completion of the ramp up of Mantos Blancos and the delivery of our transformational Mantoverde development project. Our growth pipeline driven by permitted projects and Brownfield expansions is unique. It lines up well with robust medium and long-term fundamentals for copper, fueled by both supply side constraints, and growing demand from the energy transition towards carbon neutrality. Moving to Slide 5, we produced just over 45,000 tonnes of copper at a C1 cash cost of $2.78 per pound in the second quarter. Q2 represents our first full quarter of operating results at Capstone Copper following the combination with Mantos copper, which closed towards the end of Q1. Our operating costs this quarter were primarily impacted by elevated input costs, particularly sulfuric acid in our cathode business, and seasonal lower throughput at Pinto Valley. We've already started to see signs that key input prices are trending lower and as Mantos Blancos continued to ramp up progressing well. We expect improved operating performance in the second half of the year. As such, we reiterate the nine months production and cost guidance that we provided in May. We also took proactive measures during the quarter to further protect our oxide business, which currently has higher costs due to the elevated sulfuric acid prices. As a result, 100% of our cathode production in H2, 2022 is now hedged at a weighted average price of approximately $3.70 per pound. On the right hand side of the slide, it gives me great pleasure to highlight our 2021 sustainability reports showing our firm commitment to excellence in ESG and to maintaining the trust of our stakeholders, including employees, investors, communities, and the governments where we operate. And I'd encourage you to read our reports at your leisure. On Slide 6, we illustrate our 2022 operating cost drivers and cash costs sensitivities to key input costs, in particular, our near-term exposure to sulfuric acid. This exposure will decline as we transition our Chilean operations to the higher grade, higher margin sulphides in the coming years. You may recall our nine-month guidance issued back in May assume sulfuric acid prices of $280 per tonne. And as you can see on the right hand side of the page a 10% change in pricing drives, around $0.17 per pound change in our cathode cash costs. In recent weeks, we've seen sulfuric acid quotes for Q4 delivery trend in the lower $200 range, with similar downward trends in freight rates, diesel prices, and also - a weaker Chilean peso. Turning to Slide 7, can we illustrate our key catalysts over the next 24 months. I'd like to emphasize that our primary focus is on the finalization of the Mantos Blancos ramp up during this quarter. And the completion of the Mantoverde development project, which I'm pleased to report remains on time and on budget, but also advancing the studies to develop an optimized plan for the integration of the Mantoverde-Santo Domingo district. We've implemented a highly disciplined approach to the evaluation and development of our future growth pipeline. Sanctioning, these projects will be subjected to completion of technical studies, compelling economics, balance sheet strength, and an assessment of the broader macro environment. Following a detailed review, approximately six months more time is needed to study and engineer those key areas where we expect to surface incredible value by linking Mantoverde and Santo Domingo. We now expect to deliver the updated Santo Domingo feasibility study that will include our district integration plan in H2 of 2023. The feasibility study for the Santo Domingo copper oxides in H1 of 2024 and the Mantoverde Santo Domingo cobalt feasibility also in the first half of 2024. We're excited about releasing our Monteverde Santo Domingo district integration plan in November, which will be a first look at how we intend to create a world-class copper, iron and cobalt mining districts in the Atacama region of Chile that will be anchored by two large scale low cost mines at Monteverde and Santo Domingo. As you can see, we also have a great pipeline of high quality Brownfield's projects that has the potential for higher returns and further driving down our unit costs. Now I'll pass over to Raman, for our financial results.
Raman Randhawa: Thank you, John. We are now on Slide 8. Our Q2 financial results were highlighted by a strong adjusted EBITDA of approximately $115 million. As John alluded to earlier, the sharp decline in copper prices lead to negative provisional pricing adjustments that have impacted earnings across many of our base metal peers. For us adjusted earnings per share was impacted by $58 million provisional pricing losses, which resulted in significantly lower realized copper price of $3.66 a pound compared to the LME average of $4.31 a pound. At Capstone, we have taken swift action to avoid future exposure to certain sudden drops in copper price. We are in the process of implementing a strategy to reduce a provisional price and exposure with a target of achieving LME average price for a copper production. Turning to Slide 9, Slide 9 summarizes our balance sheet strength highlighted by non-recourse project debt which amortizes over nine to 12 years following completion of the Mantoverde development project. And the added flexibility of our recently expanded revolving credit facility from $225 million to $500 million plus $100 million accordion. Our corporate revolving credit facility has been upsize to match Capstone Copper side and the low cost of capital and conditions provide for greater financial flexibility. Subsequent to quarter end, we actually optimized the balance sheet. We repaid the higher cost Glencore debt facility with proceeds from the expanded revolver. Our pro forma debt of $442 million remains unchanged from June 30. And we had minimal net debt of only $92 million. We are now on Slide 10, which shows our new expanded liquidity of approximately $720 million, which includes $350 million of cash and short-term investments as at June 30. And the undrawn portion of our recently amended revolving credit facility of $368 million. Further financial flexibility exists with $100 million accordion as I mentioned, and our $60 million cost overrun facility with our partner Mitsubishi Materials Corp. Our financial strength coupled with our EBITDA generation potential shown on the right hand side here illustrates our ability to fund our next phase of growth Mantoverde truly is our future flagship asset which doubles our EBITDA. On Slide 11, we re-highlight the fact that Mantoverde development projects is fully funded, which as John mentioned earlier remains on track and on budget, between Mitsubishi Materials Corp equity contribution of $275 million and the non-recourse facility of $520 million that covers the $825 million of capital. As of June 30, we had drawn $320 million on the project debt facility. And construction is advancing well with just over 50% of the initial CapEx accrued at the end of the quarter. Cashel will provide some additional color with respect to our progress today. We are now on Slide 12. As John mentioned, we have reiterated our nine-month production and cost guidance, but in light of the dropping copper prices we consciously reduced our capital guidance by $40 million, driven by the following: $25 million related to the Mantoverde development project, which is timing related shift from 2022 to 2023. $15 million of reduced spending at Santo Domingo primarily related to the scope of work changes regarding the C17 bypass and deferral of cobalt study into 2023. And a $10 million reduction in sustaining CapEx at Pinto Valley with the majority of expansion-related CapEx spent by the end of 2022, particularly at Mantoverde, 2022 represents a meaningful lower CapEx year on an annualized basis. With respect to Mantoverde development project, we plan on spending approximately $230 million in the second half of this year and the balance of $175 million in 2023. Now I'll hand it over to Cashel.
Cashel Meagher: Thanks, Raman. We're now on Slide 13. I'm pleased that Mantoverde operation continues to deliver strong results. The SXCW cathode business acid consumption is lower than expected for the quarter due to lower asset consuming minerals in New York. This resulted in stronger copper production and lower costs despite the impact of record high acid prices. C1 cash costs at Mantoverde came in at $0.30 per pound lower than we expected. A few weeks ago, I was at Mantoverde and was very happy with the momentum I saw for MVDP project. At the end of July, we achieved overall project progress of around just over 60% and construction progress of 25% are on track, and on budget for completion in late 2023. The mine is transitioning well to accommodate the required increase material movement for the completion of the MVDP project. I mentioned so transitioning from 10 meters to 15 meter heights and the first - the Three P&H 4100XP Shovel is ready for energization and commissioning slated for mid-August. On Slide 14, you'll see more photos showing the vertical landscape at Mantoverde is changing very quickly. The overall project remains on budget and schedule with key milestones being achieved in the foundations of the crushing, grinding, coarse ore reclaim tunnel and flotation circuit approaching completion. The truck shop and thickener earthworks are near completion and construction of the tailings storage facility is well underway. Our EPC contractor has indicated they are making steady progress and the nature of this contract fixes close to two-thirds of the overall capital costs of $825 million. Important to note that all critical equipment has been either delivered or on its way to site, purchase materials and equipment are being received at site in anticipation of steel erection and equipment installation. Now on Slide 15, the opportunity presented to us given the proximity of the two ore bodies is truly unique. I often refer to it as a symbiotic and beneficial relationship where one asset truly unlocks the potential of the other. The map on this slide reveals how our integration thinking is evolving. We can see how Santa Domingo benefits from the desalination plant and the pipeline that exists at Mantoverde the opportunity to expand the current diesel plant for Santa Domingo and the sufficient capacity in the current Mantoverde pipeline are truly cost savers. We are also working on the possible synergies like the utilization of electrical infrastructure using right of ways as a pipeline routes, and leveraging the existing workforce at Mantoverde to share and de-risk Santa Domingo. We are considering the benefits of locating the cobalt plant at Mantoverde instead of Santa Domingo, which improves logistics for byproduct sulfuric acid given Mantoverde will likely be the biggest customer for that acid. A twin pipeline to and from Mantoverde to unlock Santa Domingo oxide potential is also shown on the map. Mantoverde's cathode plant is underutilized and this provides a low cost entry point to increase copper production from Santo Domingo. We will be providing granularity in Q4 on each of these concepts with the release of our district integration plan. A true world-class district play is clearly being developed and trade-offs are being evaluated under the current value engineering exercises. Now on Slide 16, Pinto Valley produced 13.3 kilotons in a quarter impacted by a seasonal planned maintenance period and also saw some unplanned interruptions to our process facility. Cash costs of $2.82 per pound compared to our nine-month guidance of $2.45 to $2.60 per pound were higher due to the higher costs associated with the shutdown and the lower production. We expect to be within guidance for the year at Pinto Valley as we forecast that grades will increase over the second half of this year and lower costs are expected as a result. We are also seeing some relief in specific cost items such as fuel and lower freight charges for our concentrates as for PV4 for engineering and metallurgical work is progressing well for the PFS to be delivered in H1 of 2023. Now on Slide 17, our operations in Mexico achieved good grades and throughput yielding solid production results. We are experiencing some inflationary pressures in consumables like steel, diesel and explosives. The Paste fill and dry stack tailings project continue to make good progress and will facilitate the mines planned long-term sustainability. Project completion is expected in the fourth quarter. It is clear in the slide that the steel erection and equipment installation is advancing well with just under $9 million spent during Q2. Project spending to-date is around 60% of the $55 million total. In terms of exploration drilling continues to delineate and expand the Mala Noche West Vein supporting the overall prospectively of the asset, which will feed into an updated resource estimate next year. Now on Slide 18, along with predictable mine performance and strong capital production, the Mantos Blancos operation is on track to complete its ramp up in Q3, taking the average mill throughput from 11,000 tonnes per day to 20,000 tonnes per day. During the quarter, we took some downtime to address some process bottlenecks identified in our ramp up as of now the operation is close to sustaining its design metrics including recovery rates at target levels. We are confident that the completion of ramp up is imminent and look forward to predictable high margin results driven by high grade copper sulphide production. Based on this, we reiterate our nine-month guidance to Mantos Blancos that we issued in May. Now over to Wendy King for the sustainability review.
Wendy King: Thank you, Cashel. We are now on Slide 19. We are pleased to announce the addition of the Mantos Blancos copper 2020 and 2021 sustainability report published on our website and prepared following the GRI standards. We are continuously improving our ESG disclosure and our combined Capstone Copper 2022 sustainability report will include more TCFD disclosures along with the current GRI and SASB disclosures. We are committed to taking action on climate change by reducing our greenhouse gas emissions. We undertook a comprehensive review of the carbon footprint of our operations to establish the baseline for Capstone Copper. In the latter part of this year, we will be setting science-based reduction targets and develop de-carbonization pathways in line with the Paris Climate Agreement. Social programs continued in Chile, which were aimed at supporting youth development in the Antofagasta region with training and leadership programs in partnership with local foundations, the Chilean Economic Development Agency and the municipality of Antofagasta. In addition, we continue to work with the local fishing industry in the Atacama region, through several economic development projects, which included our participation in implementing a Marine Environmental Monitoring Plan. Finally, Mantos Blancos and Mantoverde will formally commence copper Mark participation in Q3, 2022 and we look forward to sharing more on this initiative soon. Now, I'll hand the call back to John.
John MacKenzie: Thank you, Wendy. Moving to Slide 20, as we progress our transformational a discipline growth plan over the coming years. This slide illustrates how we are proactively improving the asset quality of our portfolio by transforming our business to lower cost sulphides as we ramp up to Mantos Blancos concentrated debottlenecking projects and complete the construction and ramp up of the Monteverde sulphide project in 2024. With inclusion of Santo Domingo, lower cost and high margin sulphides are expected to contribute over 90% of our future total copper production. The development of the world-class Monteverde Santo Domingo integrated district is expected to drive companywide consolidated C1 costs to approximately $1.50 per pound. Finally on Slide 21, with our nine months production and cost guidance reiterated, we expect to produce around 185,000 tonnes of copper within 12 months in 2022. We remain focused on the execution of our near-term growth profile, growing copper production by 45% to over 250,000 tonnes by 2024. With the completion of the Monteverde development project which, remains on time and on budget. Following this, we have a fully permitted transformational project with a, tax stability agreements in place to advance at Santo Domingo. Ahead of the green-light decision for this, we've engineered in synergies with Monteverde and we have mobilized by mine and Bill team to execute on this next leg of growth. The timing for Santo Domingo construction decision will be during the first half of 2024. Now with that, we're ready to take questions.
Operator: [Operator Instructions] Your first question will come from Orest Wowkodaw of Scotia Bank. Please go ahead.
Orest Wowkodaw: Hi, good morning, nice to see the solid progress at Monteverde. My question really revolves around how you're thinking about Monteverde with respect to Santo Domingo? And by that I mean with Monteverde project expected to be finished by the end of next year? Should we anticipate that you intend to move right to the development of the Santo Domingo or - could we actually see a pause? If the copper price environment is still kind of call it relatively weak?
John MacKenzie: Orest, thank you very much for that question, this is John MacKenzie here. I'm going to pass you across to Cashel for a more sort of detailed response on this. But what I would say - just initially say that, clearly we're in the process of doing the numerous sort of technical studies of various elements contributing to our projects. We're looking at obviously, the copper oxides, the cobalt and I think, to a large extent, the timing of a decision on Santo Domingo to this successful completion of each technical studies. Clearly, we will also take a look at where we are with the Mantoverde ramp up the macro-economic situation and the time and our balance sheet strength in terms of make - sort of coming to a decision on that front. But I think I'd like to ask Cashel to give us that sort of further detail on that point?
Cashel Meagher: Sure, thanks, John. And of course, I agree with everything you've sort of outlined and certainly the macroeconomics or financing capability will trump all sort of decision processes. So what we have underway is a value engineering exercise whereby we're looking at various modifications minor modification to the flow sheet, to the grinding technology and various components to ensure that we're coming with an optimal process. And so, we're taking advantage of this sort of hiatus and at the same time, obviously outlining improving and optimizing the value engineering. So, you can see that we'll sort of have the iron copper circuit locked down in H1 of 2024, with feasibility study after that with a fully permitted that the DL600 in hand we could make a decision. So that's what we're targeting towards at the moment is to put ourselves in that position to make that decision. But the overall macro environment will allow us or speak to it more fully when we get to that point. And then post that, we see the cobalt and the oxide components of Santa Domingo being bolt on and being opportunities for us to modularize and perhaps even the funds separately from those other processes. Well, more so the cobalt's of course for that separate funding. But that's sort of what we're seeing. And so what we'll put ourselves in the opportunity in H1, 2024 to begin looking at production by the end of 2024. We don't necessarily have to take that choice, but at least we'll have the option to do it. Hope that answers your question Orest.
Orest Wowkodaw: Thanks, Cashel. Just so I'm clear, you plan on completing all the studies first, like the cobalt study the oxide everything and then reassess on the macro, is that fair?
Cashel Meagher: I think what we plan on doing is completing the iron copper first. We don't need the cobalt or the oxide necessarily, before we would start construction, but it would be nice to know what their contribution would be to the overall robustness of the project and the project returns. So, we don't necessarily have to have the cobalt done. But it looks you know, it you know, it's only six months after that we'll have the oxide and the cobalt more or less in a position. So you know yourself six months is a blink of an eye. So we'll likely have, what those results are or we'll know what they're trending towards one way or the other.
Orest Wowkodaw: Okay and if the copper price environment is weak, for whatever reason, then could we anticipate then demobilization? I guess that the current construction crew and a pause until things improve before you'd start Santo Domingo?
Cashel Meagher: Really, right now at Santa Domingo, there's very little going on. John sort of mentioned, we're sort of winding down the C17 bypass construction. So most of the concentrated effort on Santa Domingo was actually just stopped, oxide evaluation, cobalt flow sheet optimization, but there is some on site work that would be required to help delineate the oxide. So really, there isn't a whole lot happening. Most of what we're doing to move the project forward is on feasibility work and some metallurgical testing and flow sheet design.
Orest Wowkodaw: Yes so, I mean the demobilization at Mantoverde?
John MacKenzie: Yes.
Cashel Meagher: I'm sorry. Go ahead John.
John MacKenzie: Yeah, I can just maybe comment on that. Look, in an ideal well we would move the construction. We're not short of work for them to do it [technical difficulty] to sort of have a 6-month pauses them to on other studies in the interim. I would say it's not sort of simply being a question of where is the copper price of the pharma, but it is also an opportunity [technical difficulty] you'll be aware, we were able to price in the Mantoverde project to the point when inflation rates were low, [technical difficulty] were low. And I think we've been able to get very favorable cost on Mantoverde. Really that's something we would speak to you that it slow down [technical difficulty] do with Santo Domingo as well as Mantoverde looking forward. I think we taken sort of some judgment calls as to what the optimal timing will be for Santo Domingo development. And that will include kind of multiple parameters, sort of, one of which is obviously shifting across our build teams at Santo Domingo, but others will be looking at sort of global lead times for equipment with where costings [technical difficulty] point in time for various elements of the project.
Orest Wowkodaw: Okay, perfect, thank you appreciate the color there. And just a real quick one if I could for Raman on the depreciation/amortization big jump up this quarter obviously with the full quarter of new assets. Is the $52 million we saw this quarter, is that a good run rate now for the combined company or call it $200 million a year? Is that a good number to continue with?
Raman Randhawa: Yeah, Orest, I think that's a good number because I mean we're at 22 before that and now with Verde and Blancos coming on, it's kind of over their reserve life. So, that's fine. And then obviously it will jump up post MVDP, but that's 2024 what we talk about.
Orest Wowkodaw: Okay, thank you.
Operator: [Operator Instructions] Your next question will come from Dalton Baretto of Canaccord. Please go ahead.
Dalton Baretto: Thank you and good morning, John and team. My question relates to the DL600 at Santa Domingo. I'm just wondering kind of what the - natural limits are, and how you're thinking about that as you do the Mantoverde integration study, and whether you can ring fence any of these synergies that you're talking about under the DL600? Thank you.
John MacKenzie: Yes, thanks Dalton and that's a great question. I'll ask Raman to sort of comment a little bit further on this as well. But, you know, we've got a team that's working on all of these synergies, all of the sub-elements of the sort of Monteverde, Santo Domingo district. And one of those teams is focused exclusively on the exact question that you have asked is, how do we sort of best optimize the usage of that DL600? And how do we make sure that we achieve the sort of best overall results for the business with that as one of the input parameters into how we consider this? So it's certainly in our mind to look at and it is, we're obviously looking at sort of when we consider each element of the kind of integrated operation. We are taking into account kind of how one would also best utilize that DL600, in that context. Raman is anything you would add to that?
Raman Randhawa: No, I think that's well said John, I mean, Dalton I mean, it pertains to Santo Domingo, the ore body there, and the Santo Domingo kind of ground. So I mean, the more we can optimize Santo Domingo in terms of processing facilities or other items, cobalt, SX-EW whatever else we need, the more you want kind of profit up there and less profit downstream, I guess down the road.
Dalton Baretto: Thanks. The only reason I ask the question is because you know, on one of your slides, it looks like you're moving a lot of the infrastructure to match the learning. But maybe as a follow-up, since we're on the topic John, I'd love to get your thoughts on the proposed Chilean fiscal regime. How you see that unfolding and how that compares to the last time you did this with Anglo?
John MacKenzie: Yes and Dalton as you know, I've been through this process before in 2010, and what is a very similar sort of context of the government seeking to increase royalty rates. So I'd start off by saying, look Chile has got an enviable track record of sensible economic policies that encourage investment into the mining sector. And the reason for this is that it's really around their process as they have got a thorough and sort of robust set of processes that includes sort of the debates and discussion and that bring in inputs from both sort of all sides of the political spectrum? That said, I would say the current proposal that's being debated by the Senate at the moment, I think, will undoubtedly have a long-term negative impact into the future mining investments in Chile. And that's really because it doesn't take into account sort of cost inflation that doesn't take into account the fact that many of the ore bodies that are going to be developed in the future in Chile, have lower grades and higher costs, because the royalty proposal is essentially entirely based on copper prices. As you pointed out, we do have this DL600 in place, which gives us 15 years at Santo Domingo with no changes to the current tax or royalty regime. And that's obviously sort of an important protection for ourselves. But nevertheless, we are sort of engaging with decision makers in Chile, and I would say that to-date, we're encouraged by the sort of receptiveness that they've shown to our concerns sort of around the current proposal. And I think overall, you know, the world absolutely needs a lot more copper. I think sort of everybody sort of has seen the forecasts for what's going to be required with electrification and renewable energy going forward. And I think - it's very much common cause internally, that they would like to see a large part of that future copper supply coming from Chile. And so, I do think there is alignment in ensuring that over the long-term. There is a economic environment that is conducive to further investments. So clearly, there's a process that's been gone through, we're obviously engaging in that process and I think we remain of the view that the Chile remains one of the better and more stable jurisdictions. But clearly, we need to see sort of with regard to the current proposal, changes that would ensure Chile maintains its competitiveness with other copper producing nations.
Dalton Baretto: Great, thank you. And maybe I can just squeeze one last one in. Are you able to comment on what Chilean peso exchange rate of [Ausenco] assumed and how much breathing room they have at current levels?
John MacKenzie: Yes well - I think for them, it's favorable, you'll remember for us we hedged all, of the sort of peso portion of our exposure in the project. So Ausenco's have quoted to us parts of the project in pesos and part of the project in US dollars. We obviously did not want to have any currency exposure, given that our financing was being raised in U.S. dollars. So we had hedged out all of the, the exposure. Look I don't know what underlying assumptions what Ausenco actually had, I do know that the time that we were doing the sort of negotiations with them, I think the rate was in the region of around 725 or so. And today, it sort of sits around 900. So I think from their point of view, it's a fairly favorable kind of move. But again, we don't have sort of full insight into quite how they're sort of currency management takes place.
Dalton Baretto: That's great, that's all for me guys. Thank you.
Operator: [Operator Instructions] Your next question will come from Ralph Profiti with Eight Capital.
Ralph Profiti: Hi there good afternoon. Thanks for taking my questions. John, you sounded pretty confident that with respect to the integrated district plan, and as Mantoverde and Santo Domingo become more integrated, that the permitting process for a more encompassing operation is already sort of covered in the current body of work, right. And I'm just wondering, what is the risk of a more of a renewed or perhaps a more difficult and detailed process being something that we could be looking at?
John MacKenzie: Yes, thanks Ralph and that's a good question. Look at the moment, obviously, Monteverde is sort of fully permitted in construction, and the existing feasibility that we have for Santo Domingo is also fully permitted. So to an extent, we are taking that into account when we look at the synergies and the opportunities and the changes. And we are assessing for each one of those changes what would those imply in terms of permitting. In Chile, there are various different sort of levels of permitting, that's call a potent [NCA], which is, basically a notification is a DIA, which is a relatively short and quick environmental permitting process. And then there's an EIA, which is a much sort of more detailed permitting process. And we look at each of these changes with a view to sort of what level of permitting change would be required. I think, looking at this stage, most of the sort of immediate synergies in terms of just putting using current infrastructure, and using the sort of existing project plans from Mantoverde in Santo Domingo, we don't believe there's really any sort of material changes to the permitting requirements of that, clearly when one start adding these elements as Cashel mentioned earlier, which are sort of the processing of the oxides, that is likely to have an additional permitting requirements, and similarly the processing of cobalt will have additional permitting requirements. I think sort of going to a sort of previous question it is possible to totally disconnect these projects we can develop under the current permitting regime. The existing Santo Domingo project utilizing infrastructure synergies, and basically sort of bring in the oxides and the cobalt, as the permitting processes for each of those two projects are complete. We don't believe that any of those projects really fundamentally impact - in anyway differently to the current project footprint. So I think our expectation is that, whilst we will need to go through certain permitting processes, we don't really foresee those being either complex or particularly time consuming.
Ralph Profiti: Okay, yes that's great. As a follow up, I was just sort of tracking Pinto Valley, and their position on the all-in sustaining curve. And just wondering if we can expect a strong finish on grade similar to what we saw in 2021. We're already seeing some cost relief, and you've deferred some of that sustaining CapEx and lowered it. Just wondering if a strong finish on grades also helps us get us back into that cash cost guidance for 2022? Thanks very much.
John MacKenzie: Yes, thanks Ralph another great question. I'm going to pass that one across to Cashel to give a more detailed answer.
Cashel Meagher: Yes, there's strengthening in grades. Not quite as we're not forecasting it quite as strong as what happened in 2021. But there's certainly strengthening of grades in the second half of this year. So that will help obviously the bottom line in getting the cost per pound down as well, some of - the inflationary pressures coming off and some local cost initiatives being undertaken at the mine.
Ralph Profiti: Okay, great to hear. Thanks, John. Thanks, Cashel.
Operator: Your next question comes from [indiscernible] of Clarksons. Please go ahead.
Unidentified Analyst: Thank you. Good morning, us and thanks for taking my questions. And just want to touch on industry consolidation, as you're obviously right in the middle of that with the merger. So it would be interesting to hear your thoughts on industry consolidation in general and also your specific role and going forward. You'd previously been talking about consolidation around the Pinto Valley area. Any color on that or on the potential opportunities would be appreciated?
John MacKenzie: Yes, thanks for that. And certainly, I'm going to be asking Cashel to talk a bit more. Just on the sort of Pinto Valley district consolidation of bit further, but we absolutely see ourselves as a consolidator. I think the combination of Mantos and Capstone I think have created a company that's sort of in a rare position in the industry in terms of scale and I think probably a unique position in terms of growth prospects. And we absolutely have sort of opportunities to continue to expand each of these districts where we are operating. And I think clearly we've spoken a lot about Mantoverde, Santo Domingo. We continue to see opportunity there for that to grow is world-class mining district. And I think you, you're aware of the sort of ideas we have around copper cities. But I'd like Cashel just to comment a little bit more about our thinking and because we haven't really spoken as much about that sort of district consolidation in Arizona, but I think we are extraordinarily well positioned there as well, so the Cashel across to you.
Cashel Meagher: Sure yes, I mean it offers sort of similar benefits as Mantoverde, Santo Domingo wherever you can leverage current infrastructure. And I would say more importantly a talent and that's one of the dirts in our industry now is being able to get people that have the training and have the experience and certainly have project construction. But with respect to Pinto Valley itself I mean the mine has been operating for a number of decades and there are some existing resources around their consolidation the Freeport and BHP is on the table. In fact, we have a exploration agreement with BHP now, what we're evaluating the content of the resource and working with them on an evaluation of what a mining district might be and having Pinto Valley there offers us a unique opportunity to consolidate that district with having the workforce, the permits currently there and certainly a knowledge of the area. So we see copper cities as potentially a mirror image to the Pinto Valley operation and we're working away on what might be some of the synergies between the two to bring the cost down the operating cost down at Pinto Valley and then to take advantage of that resource - it copper cities and that resource again is a very large sort of the low-grade resource in the order of 0.3 copper much like what we have residual at Pinto Valley. So we think it's a huge advantage being really the only meaningful operator within that Globe Miami area, right there. So we meet biweekly with BHP and we sits on a technical committee also with Freeport in the area. And so we're busy working on those things and we're really hopeful for the next several quarters that we'll be able to bring more news about it.
Unidentified Analyst: Okay, thank you guys, that's great color.
Operator: There are no further questions at this time. I will turn the conference back to Mr. MacKenzie for closing remarks.
John MacKenzie: Thank you everybody for joining us today. We will be announcing the date for the release of our Q3 several quarters and until then please feel free to reach out to either Jerrold or [Katina] if you have any further questions. Have a good day. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We would like to thank everyone for participating and ask you to please disconnect your lines.